Operator: Good morning. My name is Mike and I'll be your conference operator today. At this time, I would like to welcome everyone to the Eldorado Gold Corporation First Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] I will now turn the call over to George Burns, President and CEO, you may begin your conference.
George Burns : Thank you, operator, and good morning and welcome to our 2017 first quarter financial and operating results call. I'm excited to be here as a new President and CEO of Eldorado Gold, as of this morning. With me here in Vancouver I have Paul Skayman, Chief Operating Officer; Fabiana Chubbs, Chief Financial Officer and Krista Muhr, our Vice President of Investor Relations. We have provided detailed financial and operational information in the press release that went out yesterday evening. Before I begin, I want to remind you that any projections and objectives included in our discussion today are likely to involve risks, which are detailed in our 2016 AIF and in the forward-looking statement disclaimer at the end of the news release. As I stated yesterday at our Annual General Meeting, I took this job as I admire the work that Paul Wright and his team have accomplished over the years. I also see tremendous opportunity for growth based on our internal project pipeline. I visited our assets in Greece last month, and I must say that I was particularly impressed with the quality of work that is going into our development projects there. Olympias 2 is in the final stage of commissioning and we expect commercial production to be declared in the third quarter. During the first quarter, we announced that we have received multiple tenders for significantly better concentrate sales terms, which we expect will increase annual production from Olympias Phase II to approximately 85,000 ounces of gold. At Skouries, a key growth project in Greece, work is continuing with start up on track for 2019. During the quarter, construction was restricted due to poor weather and unnecessary targeted work, including tailings, thickener foundations and stockpiled dome embankments. With that said, the engineering team continued to work on integrated waste management facility and the filter plan. Both of these quality assets have mine lives in excess of 25 years and combined are expected to produce over 240,000 ounces of gold per year in addition to an equivalent value in silver and base metal credits, which, in turn, will translate into free cash flow. I’m looking forward to hosting many of you on the upcoming site tours in May and June. I strongly believe these visits will demonstrate to the market just how advanced both of these assets are and how quickly we expect them to be operating. In Turkey, where I also recently visited, our teams and assets are second to none. Kisladag has 5 million ounces of reserves at startup a decade ago, has produced 4 million ounces of gold in that time and still has 5 million ounces of reserves today. This asset, Turkey’s largest gold mine still has nearly 20 years of gold production ahead of it. During the first quarter, Kisladag produced 52,644 ounces of gold at a cash cost of $446 per ounce. Cash costs were reduced year-over-year due to the higher average treated head grades and reduced operating costs related to labor and major consumables through our ongoing operational improvements. Turning to Efemcukuru, which is, as a mine site an incredible feat of engineering and for those of you that have been there, you know how impressive it is. We expect this asset to keep delivering low-cost ounces for many years to come. During the first quarter, Efemcukuru produced 22,528 ounces of gold at a cash cost of $515 per ounce. Looking at the expected gold production for the year, the company expects to produce between 365,000 to 400,000 ounces at the cash cost between $485 and $535 per ounce. I have no doubt that the operation teams will deliver. Turning to exploration, the team is busy with a number of projects that fit into our future growth pipeline. During the quarter, 13,600 meters of drilling was completed at our projects in Greece, Romania and Brazil. In Greece, exploration was focused on drilling extensions of the Mavres Petres orebody from our new hanging wall exploration drift and testing new targets on the field scope [ph] for free system. Late in the quarter, we initiated the first ever drill testing of the Tsikara porphyry prospect area. In Romania, we continued drilling the Bolcana porphyry deposit, tested several epithermal vein peripheral to the porphyry. Our Brazil drilling program this quarter targeted several early-stage orogenic gold targets with the Borborema project area in the Northeast part of the country. These programs are continuing into Q2, and we are also picking up a 20,000-meter drilling program at our KMC project is Serbia. We have additional future growth projects in our pipeline, including Tocantinzinho in Brazil, Perama Hill in Greece and Certej in Romania. I hope to have additional updates Tocantinzinho in the near future. I can't talk about our quality assets without recognizing the nearly 5,000 employees and contractors that make all this happen each and every day. We remain committed to developing our people and communities and to operate in a safe and environmentally responsible way. Our industry peers are dealing with shorter mine lives, depleting reserves and declining production rates. While we have quality assets, longer mine lives and the balance sheet to deliver long-term sustainable growth. As we continue to put our low-cost, long-life projects into production, I believe the market will recognize it, which offers tremendous upside to our investors. And just before I turn it over to Paul and Fabby, I would like to take this opportunity on behalf of Eldorado team to thank Paul Wright for his hard work over his nearly 20 years leading this company. We look forward to having his continued support, as he moves into the Vice Chairman role on the board. That's it from me. I'll turn it over to Paul Skayman.
Paul Skayman: Thanks, George. Good morning, everyone. Starting with Turkey. Kisladag produced 52,600 ounces of gold, which was in line with our expectations for the quarter. I should remind everyone traditionally Kisladag has a slow first quarter due to cold weather and rainfall. Inventory levels rose during the quarter, in line with material placed on the pads been better grade than previously and also have been at higher levels on the pad than previously. Tonnes of ore mined and placed on pad were in line with budget and the grade of the material exceeded our budget. However, 0.94 is still our predicted overall TRID [ph] rate for 2017. Year-to-date, strip ratio at Kisladag was 1.27, slightly above our Q1 budget number, but approximately in line with full year guidance of 1.18. Cash cost for the quarter, as George said, very good at $446, a combination of currency exchange and site efficiencies were responsible for that number. Also in Turkey, Efemcukuru turned another solid quarter, production of 22,500 ounces. Tonnage mined and processed was slightly over budget, ounce production slightly behind due to lower traded head grade in Q1. Cash cost for Q1 were $515 an ounce, and again, slightly lower than our guidance of $525 to $575. Moving over to Greece. Olympias is in the final stage of commissioning, things appear to be progressing well. Material has been mined, placed on surface, now moving through the circuit and we're happy with how things are going. We remain on track for commercial production in Q3. And as George said, we're looking forward to hosting some of you over the next month or 2, as you get to see for yourself the progress on site. At Skouries, I indicated earlier in the year, we had a slow start to 2017 with significant snowfall for most of the first 2 months over the site. With improving weather conditions, work is now moving forward again and we continue to work on areas in the process plant, along with proprietary works around the tailings pond. At Tocantinzinho, we received the installation license just this week. However, we're still waiting for permits surrounding tailings and solution ponds. We're satisfying request for extra work on these areas of the project, which are required due to design concerns on tailing dam given the recent tails dam issues in Brazil. However, we do not anticipate any specific issues and expect to have these permits later this year. At the same time, basic engineering is nearly completed in Vancouver on Tocantinzinho. And with that, I'll turn it over to Fabby.
Fabiana Chubbs: Thanks, Paul, and good morning, everyone. We have a quite first quarter for financial reporting. We ended the quarter with cash, cash equivalents and term deposits balance of $874 million compared to $888 million at the end of 2016. The decrease in the cash balance is mainly the result of cash flow generated from operating activities [indiscernible] working capital of $28 million, net of usage of cash of $74 million in capital programs and $11 million in dividend payment to shareholders. Net profit attributable to shareholders of the company was $3.8 million or $0.01 per share in the first quarter of 2017 compared to a loss of $2.5 million in 2016. Excluding the $3 million loss recorded on finalization on the sale of Chinese asset, we reported adjusted net earnings of $8 million or $0.01 per share in Q1 2017 compared to an adjusted net loss of $0.7 million in 2016. Gross profit from continued operation for the year of $69 million was $3 million higher year-over-year, due to higher realized gold price and lower cash operating cost. The effective tax rate was impacted by withholding tax accruals in Turkey, foreign exchange effect and unrecognized losses in Canada and Greece. At the ways of reference, a 10% changed in the exchange rate for the Turkish lira will result in approximately $8 million assortments to deferred taxes. These are noncash assortments. Those are my comments on the financial statements. I will turn the call back to George.
George Burns: With that operator, we'll open it up for questions.
Operator: [Operator Instructions] And first question is from Kerry Smith of Haywood Securities.
Kerry Smith: Paul, for Skouries, you only spent $14 million in Q1 on construction. Was that kind of in line with what you're budgeting or did you actually spent less than you expected there because the weather was worse than you had anticipated?
Paul Skayman: Yes, little less than we anticipated. I mean Q1 was never going to be a big quarter, but it was certainly -- I mean, I have never seen snow like there was on site on those days during our first quarter. So obviously, we were fairly well hampered for that period. So under what we thought we might.
Kerry Smith: Okay. So do you think you'll still kind of be on budget there and on schedule, given that you have the slow start?
Paul Skayman : Yes, I mean, it's early days. We're hoping obviously to sort of catch that up as we move through the year, Kerry.
Kerry Smith: Okay, And Olympias 2, I guess, most of the CapEx that's been in Q1, is that project still going to come in on budget and I think, you were talking 55 million this year and you've spent 37 already?
Paul Skayman: Yes, pretty close. I mean, we've done and there is a few sort of hangover payments to do on the Phase 2. But we're pretty well there.
Kerry Smith: Okay. And then the incremental 15,000 ounces that you expect to get out of the better pay factors on the concentrate out of Olympias Phase II, is that -- that's starting in 2018, obviously, I think you suggested five years, is that 15,000 ounces per year for five years or how long should we think of that better pay factor?
Paul Skayman: I mean they are the sort of numbers that I'll be using for that five years, Kerry. They'll start, as we start production later this year. And then 15,000 ounces is a full year, obviously. So '18, '19 and onwards, as we're in the head grade stays where it is, we would expect that extra ounces.
Kerry Smith: Okay. So you're kind of assuming that incremental improvement until Phase III comes on and however long that takes?
Paul Skayman: That's correct, yes.
Kerry Smith: Okay. I got it. And just one last question, what does the installation licenses at Skouries [ph] actually allow you to do Paul?
Paul Skayman: That allows us to move forward with works on site in terms of that sort of construction on the plant, et cetera. But obviously, we're still waiting on tailings dam and solution ponds, couple of small CIO ponds that are going in. So it allows us to move forward, but not with the whole site.
Kerry Smith: Okay. So it's more like road construction, but you could actually start plant construction, if you want with that license?
Paul Skayman: That's correct, yes.
Kerry Smith: Okay, great. Thank you. 
Operator: The next question is from Scott Macdonald from Scotia Bank.
Scott Macdonald: Just had three, hopefully, quick questions for you. Firstly, if you could maybe just walk us through a little bit how you see the next three quarters playing out over the course of the year, particularly at Kisladag, but maybe also at Efemcukuru and Olympias, just from an operating perspective?
Paul Skayman: I would just point you back to guidance for that one, Scott. I'm not saying it's being any different than what we've guided to.
Scott Macdonald: All right, I meant sort of like quarter-over-quarter, do you see it kind of directionally being fairly even over the remaining quarters at each of your operations or do you see some ups and downs?
Paul Skayman: No, we don't generally give quarter-by-quarter guidance, Scott.
Scott Macdonald: Okay, fair enough. My second question just on Skouries, if you could maybe just point us to some of the critical path items we should be looking for over the next few quarters?
Paul Skayman: I guess, the one that we do need to submit and work on is the dry stack permit, that's something that we're in the process of submitting now. And then it sort of has to go through the government process. So that's one that we'll be updating you as we move forward with that.
Scott Macdonald: Okay. Any sense now when you’re kind of expecting that?
Paul Skayman: No, not at this stage. I mean, obviously, we’d be hoping for it by the end of the year, but I wouldn’t --.
Scott Macdonald: Just sometime this year, you’re hoping.
Paul Skayman: Sure, yeah.
Scott Macdonald: Okay. And then maybe one just for Fabby. I noticed there was a big fat refund coming back on the cash flow statement this quarter, just wondering that something you expect any more of those over the next few quarters or are those kinds of one-time thing?
Fabiana Chubbs: I can tell you we like them to be a reported, but it depends on the government funded allocations. We do the presentation of the VAT returns, but the deadline requirement on they’ve also have the internal process on time, they work a bit faster than others time. So I kind of guarantee that we'll be in that, there was three quarters that we haven’t received any single VAT rate, and we'll received then all together at one quarter so.
Scott Macdonald: Right, okay. So it’s not that reliable. Okay. Great. Thanks, guys.
Operator: There are no further questions at this time. I will turn the call back over to George Burns, for closing remarks.
George Burns: Well, thank you, everybody for joining us today. And I look forward to hosting many of you on our upcoming site visits in Greece. Thank you.